Operator: Good afternoon. My name is Kyle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Fiscal Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I'd now like to turn the call over to Mr. Colby Brown, Vice President, Investor Relations.
Colby Brown - Vice President-Investor Relations: Thank you, Kyle. Good afternoon, everyone, and thank you for joining us to discuss our third quarter fiscal 2016 results. Joining me on the call today are Bill Cobb, our President and CEO; Greg Macfarlane, our CFO; and Jason Houseworth will also be available during our question-and-answer session. In connection with this call, we have posted today's press releases on the Investor Relations website at hrblock.com. Some of the figures that we'll discuss today are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP figures in the schedules attached to our press release. Before we begin our prepared remarks, I'd like to remind everyone that this call will include forward-looking statements as defined under the Securities laws. Such statements are based on current information and management's expectations as of this date and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict. As a result, our actual outcomes and results could differ materially. You can learn more about these risks in our Form 10-K for fiscal 2015 and our other SEC filings. H&R Block undertakes no obligation to publicly update these risk factors or forward-looking statements. At the conclusion of our prepared remarks, we will have a Q&A session. During Q&A, we ask that participants limit themselves to one question with a follow-up, after which they may choose to jump back in the queue. With that, I'll now turn the call over to Bill.
William C. Cobb - President, Chief Executive Officer & Director: Thanks, Colby, and good afternoon, everyone. Earlier today we announced our results for the fiscal 2016 third quarter, which ended January 31. As a reminder, due to the highly seasonal nature of our business, a majority of our revenues and all of our fiscal 2016 earnings will occur during the fiscal fourth quarter, and thus fiscal third quarter financial results are not indicative of expected performance for the full year. We are just half way through the tax season with millions of tax returns we have to prepare. And so far, we have seen broad sweeping changes affecting the tax industry from what is really a transitional year for both the industry and H&R Block. Some of the changes we've seen include: aggressive and numerous fraud prevention measures implemented at both the Federal and state levels; a decline in early season tax filings indicating a real delay to the season, possibly due to the overall impact of fraud, the Affordable Care Act and other industry factors; the continued evolution of the DIY category as a result of significant changes in pricing and client acquisition strategies; and the reintroduction of the refund anticipation loan into the assisted category. Although it will take the availability of complete season results to fully understand the effects of these changes, I'd like to spend some time today talking about what we believe each of these could mean at the industry level and how they are impacting H&R Block. Then I'll address the current season results to-date. Finally, Greg Macfarlane, our CFO, will walk you through the quarter's financial results. Let's start our detailed look at the industry by first talking about the progress made this season at the Federal and state levels in the battle against tax fraud. As we have discussed for several years, fraud continues to heavily impact the tax preparation industry. This season, however, is not merely a continuation of the same story that we've seen the past few years. We are now seeing significant changes implemented at both the Federal and state levels to combat fraud, and we are very pleased with the progress being made. Although there is still much to be done, positive momentum is building. At the Federal level, we have seen refund processing slow noticeably from prior years, which we believe is an indication of the implementation of additional fraud filters. For example, in 2015, the IRS had processed and refunded $66 billion in tax refunds by February 6th. This year, that number had dropped 11% to $59 billion. And the average time for taxpayers to receive their refund has increased from 10 days last year to 13 days this year. Finally, our data shows that larger Federal refunds are taking longer to process than smaller refunds, which may be another indication of stronger fraud prevention measures. Additionally, state governments are not waiting for the Federal government to fix this problem. This season, we have seen initiatives in dozens of states designed to reduce fraud. For example, 14 states implemented W-2 matching to ensure taxpayers' reported earnings on their tax returns equals that reported by their employer on W-2s. 18 states now require some type of identification quiz to validate and receive a refund. 17 states are using an identity theft indicator on state returns. And we even saw Maryland shut down one competitor's ability to e-file state returns from several of its franchisee locations due to suspicious returns. This is also the first year that increased security measures are required from tax software providers as a result of the Security Summit, a public/private partnership between the IRS, state Departments of Revenue and industry leaders. Providers have implemented stronger security protocols and now require additional online filer authentication methods. Additionally, tax preparation companies implemented better fraud monitoring processes, are required to report suspicious activity leads to the IRS in a timely manner and some have increased their security infrastructure to better protect taxpayers' personal information. H&R Block has been doing most of this for years, but it is good for the industry that other tax providers are now required to follow the same processes. We applaud all of these new efforts and know that more changes on the horizon. Federal W-2 matching and further enhancement of information technology security protocols at both the Federal and state levels are forthcoming. Despite all these efforts however, fraud remains a huge issue for this industry and our country, and there's still much more work to be done. This is evidenced by the magnitude of fraud being perpetuated year after year. We have discussed these numbers before, but they are so staggering they are worth repeating. The Treasury Department estimates that there are $14 billion to $17 billion in improper earned income tax credit payments and at least $5 billion in tax identity theft losses annually. We continue to advocate for EITC form parity, stronger DIY measures and minimum standards for tax return preparers. Such measures, combined with the steps already taken and those planned for next year, are needed to ensure that tax refunds are delivered to those that deserve them. And while it's widely accepted that the level of fraud in the industry is significant, we don't have clarity on how fraudulent returns impact return counts as reported by the IRS. Additionally, it's not clear what our competitors are including in their return counts which makes it difficult to understand changes in filings year-over-year. We hope to have more clarity on fraud and its effect on the industry, but it's likely that such information will become available more slowly than we would all like. Despite the uncertainty related to fraud, there has been a decline in the number of tax returns filed in the early season, indicating a shift from the first half of the season to the second half. The latest numbers from the IRS show that tax returns received as of February 26 continue to be down 0.4%. There are several possible reasons for this delay, including fraudulent activity and related efforts to reduce fraud, refunds taking longer to process, an increase in the number of balance due returns, and the Affordable Care Act. What is not clear, however, is how much of the reduction in tax returns is due to taxpayers taking longer to file their taxes as opposed to a true reduction in returns being filed this year due to effective fraud filters at the IRS. It's worth spending some additional time on one of the possible causes for this delay that I just mentioned, the Affordable Care Act. The ACA continues to influence consumer tax filing behaviors. Last year was the first time many taxpayers truly felt the impact of the ACA on their tax returns. This year, the ACA should affect even more taxpayers for a number of reasons. First, increased marketplace enrollment means that more people will have to reconcile their insurance subsidies with their tax returns. Next, this is the first year that the IRS will be able to confirm that taxpayers have private insurance through the issuance of Forms 1095-B and 1095-C. This may make taxpayers reluctant to just check the box on their tax returns given that the IRS will eventually be validating their claims. That said, the deadline for issuance of these forms has been delayed until March 31, which may cause confusion for some. Finally, the penalties for non-compliance have more than doubled, potentially costing taxpayers an estimated $500 per return versus approximately $200 last year. It's clear that there are a lot of moving pieces around the ACA which may be contributing to the delay this season. Of course, we won't have a full understanding of its impact until season's end. Let me shift gears now and talk about the DIY category. This category is also undergoing change, primarily due to the category leader's decision to focus on driving volume in low-lifetime value, price-sensitive filers. This tactic centers around offering products for free and creating movement in the DIY category, placing pressure on other competitors in this space. From an overall industry perspective, the early season results reported by the IRS indicate a share shift to DIY. This shift is consistent with early season results in prior years and will likely moderate as the season continues. Finally, this year has marked the reintroduction of refund anticipation loans in the industry. These loans are being offered by our branded assisted competitors as well as independent tax preparers in varying forms. These low dollar loans are not widely promoted and generally offer interest-free rates. It's hard to quantify the impact of these products on the industry or our business, but we are watching this development closely. With that overview of the industry, let's now shift our focus to H&R Block and why this is a year of transition for our company. First, as many of you recall, in August, we were able to successfully divest H&R Block Bank and transition three of our core financial products to our bank partner. We are pleased to say that the transition has gone well and has been seamless from a client service perspective. In addition to the operational changes, there were also changes to our financials as a result of the bank divestiture which we discussed at the Investor Conference in December. Greg will review these changes again later, but I wanted to provide a quick reminder that the divestiture impacted both the economics of the business as well as the presentation of certain items on the income statement, diluting earnings and giving our financials a different look from previous years. We are also moving forward with our new capital structure. During the quarter, we returned capital to shareholders by repurchasing approximately 12 million shares. This brings total repurchases for the fiscal year to 19% of outstanding shares. In fact, considering both share repurchases and dividends, we have returned over $2 billion to shareholders in fiscal year 2016 alone. Finally, we continue to innovate to ensure we are delivering exceptional value to our clients. We are in the second year of our newest product, Tax Identity Shield, which provides real help to taxpayers facing the unwelcome threat of tax identity theft. And we launched a new brand, Block Advisors, focused on delivering tax planning and small business services to those clients that have year-round tax and business needs. Our new brand is up and running with over 280 offices throughout the country, staffed with expert tax advisors ready to assist clients with complex tax situations. As we said at our Investor Conference, this is a long-term play for us but we're pleased with the progress made this year. With this overview on the season and our business, let's now talk about our third quarter results. As I mentioned earlier, it has been a slow start to the tax season. We are seeing the impact of delayed filings on our volumes and our revenues. Although assisted volume has declined compared to last year, the results are more positive from a share perspective. And as we said in December, it will take time to turn the early season client loss around, but we are taking steps in the right direction. For the clients that we have served this season, we have seen positive increases in both price and form mix. Clients with more complex tax preparation needs continue to see H&R Block as a trusted expert to help them navigate through their complex tax situations. And our products continue to provide tremendous value to our clients. Despite the early season decline in volume, we are pleased with overall product attach rates which Greg will cover later. In conclusion, this is a year of change for both the tax preparation industry and H&R Block. Macro factors such as fraud and the ACA continue to impact the industry, causing filing and refund delays. Although the first half of the tax season has been slower than expected, we are anticipating a stronger second half. As is often the case, this will again be a tax season where results can't be measured until the tax return filing deadline has passed. We look forward to sharing those results at the conclusion of the season. With that, I'll now turn the call over to Greg to review the financial results.
Gregory J. Macfarlane - Chief Financial Officer: Thanks, Bill, and good afternoon, everybody. First, it's important that I reiterate what Bill mentioned earlier. Because of the seasonality of our business, the majority of our revenues in all of our fiscal 2016 earnings will occur during our fiscal fourth quarter, and as such, fiscal third quarter financial results are not necessarily indicative of expected performance for the full year. Third quarter revenues were $475 million, down 6.8% from the prior year. As we discussed at the Investor Conference, we consider four components when evaluating revenue: volume, price, mix and attach rate. I'd like to take a moment to discuss each of these a little bit further. From a volume perspective, we came into the season expecting industry-wide returns to increase 1% to 2%. As of February 26, total industry returns actually decreased 0.4% compared to last year. As Bill discussed, this represents a possible industry-wide shift of approximately 2 million clients out of the first peak of the season and into the second half. Similar to industry statistics, H&R Block has also experienced lower volume in the first half of the season. As of February 28, we were down 6% in total returns. The decline in early season returns doesn't come as a complete surprise as we have communicated that this is a significant challenge, and solutions will take time to yield results. And although we are disappointed with this decline, we have seen an improvement from the share loss in our assisted business when comparing mid-season results from this year to last year. With that perspective in volume, let's talk about the progress we're seeing on the other three components of revenue: price, mix and product attach. In terms of price and mix, both continue to be a positive story for us. We have once again been able to achieve reasonable prices increases this year and are also pleased with our form mix as volume declines continue to be concentrated in lower value forms. We are, again, running our half-off promotion for new clients through March 31, which was very successful last year. This promotion is designed to attract more complex, higher value returns at a time when our offices historically have had available capacity, and we anticipated further improving the overall mix for the season. Finally, our Tax Plus products continue to positively contribute to overall results. Although sales are closely related to volumes, we are pleased with our overall product attach rate. Specifically, our refund transfer attach in DIY has grown, following enhancement to the interview flow within our software product. Additionally, Peace of Mind and Tax Identity Shield attach rates continue to increase. Peace of Mind provides a tremendous value to our client considering its low cost, and Tax Identity Shield is an example of smart innovation, the right product at the right time. As a reminder, revenue from these two products is deferred, and as such, only a small portion is recognized in the year of sale. In addition to the factors just discussed, revenue was negatively impacted by foreign currency exchange rate fluctuations, which we expect to result in a 1% reduction in overall revenue for the full year. The revenue decline is also part due to the divestiture of H&R Block Bank. As a reminder, the bank divestiture impacts our financial results in a couple of different ways. First, the economics paid to our bank partner result in lower revenues and increased expenses and, as such, is dilutive to earnings. Second, because we are no longer a bank holding company, there are certain accounting classification changes that negatively impact revenues. On a full-year basis, these changes are expected to result in a 1% decline in revenue and a 1 point drop in EBITDA margin, consistent with the guidance provided at our Investor Conference in December. Operating expenses increased $10 million or 1.7% from the prior year, primarily due to expenses related to acquired businesses, as well as an increase in marketing expense. Although the acquisitions of independents and franchisees add expense to our income statement, it's important to remember that these transactions are accretive from an earnings perspective. Interest expense increased to $24 million, primarily as a result of the issuance of $1 billion in long-term debt into September of 2015. Given all these factors, net loss from continuing operations was $79 million or $0.34 per share compared to a net loss of $35 million or $0.13 per share in fiscal 2015. As Bill mentioned earlier, this is a transition year for us. So heading into the year, we anticipated a drop of EBITDA margin percentage due to the impacts of the bank divestiture and the acquisitions of our franchisees. For the full fiscal year, we are now targeting an adjusted EBITDA margin slightly below the 29% to 30% we shared at the Investor Conference, but still within our overall guidance of 28% to 32%. This is primarily due to the current year decline in returns in our assisted business. Our long-term EBITDA margin guidance is unchanged at 28% to 32%. Turning to discontinued operations. There were positive developments during the fiscal third quarter as Sand Canyon was able to enter into settlement agreements with certain counterparties related to representation and warranty obligations. The settlement of these claims is an ongoing process that began eight years ago. During this time, the Sand Canyon management team has been diligently focused on bringing the representation and warranty contingency to its conclusion. Although the wind-down of Sand Canyon is expected to take time, this quarter's activity represents strong movement towards the resolution of its obligation. This quarter's settlement amounts were fully covered by prior accruals. Sand Canyon's accrual for contingent losses related to representation of warranty claims decreased $89 million to $65 million as of January 31st. As a reminder, Sand Canyon is and always has been operated as a separate legal entity from H&R Block. We continue to believe our legal position is strong in any potential veil piercing arguments. Turning to our balance sheet. Certain balances are substantially different compared to the prior year due to the divesture of H&R Block Bank. During the second quarter, cash balances and certain liabilities, including all the bank's deposit liabilities, were transferred to our bank partner. Additionally, the available for sale securities held to meet regulatory requirements were liquidated. We did retain our mortgage loans held for investment and will continue to evaluate options for this portfolio. For additional information regarding these transactions, refer to previous 10-K, 10-Q and 8-K filings with the SEC during the last calendar year. The increase in long-term debt is due to the issuance of $1 billion of senior notes in September of 2015. Additionally, due to GAAP requirement, borrowings under the committed line of credit, which totaled $1.1 billion at January 31, are also recorded as long-term debt. This did not reflect our intent regarding repayment of such outstanding amount, as the current balance in the line of credit is anticipated to be paid off by the end of the fiscal year. It is merely a reflection of the fact that the line of credit agreement runs longer than one year. As a reminder, we did not utilize any commercial paper borrowings this tax season, instead relying on the line of credit for our funding needs. Finally, as mentioned by Bill, during the quarter, we continued our practice of returning capital to you, our shareholders. We repurchased and retired approximately 12 million shares of common stock at an aggregate price of $392 million and at an average price of $32.72. A quick side note, because I know a lot of you ask about this, some of these share repurchases were executed during the tax season. As of January 31, approximately 224 million shares were outstanding. These repurchases are an affirmation of our confidence in the future of H&R Block and our desire to create value for our shareholders. All together, we have bought back 19% of outstanding shares for a total of $1.9 billion since the beginning of this fiscal year. I'd now like to turn the call back to Bill for closing comments.
William C. Cobb - President, Chief Executive Officer & Director: Thanks, Greg. We've seen a lot of change in the tax industry over the past couple of months, but as I say every year, there's also a lot tax season left, and we are focused on delivering a stronger second half. We are now ready to open the call for questions. So let me turn it back to Kyle.
Operator: Your first question comes from the line of Gil Luria from Wedbush. Your line is open.
Gil B. Luria - Wedbush Securities, Inc.: Good afternoon. So very helpful commentary on why the tax season got pushed out for in its entirety. But can you help us bridge the 3% decline in the assisted category for the IRS numbers as of the most recent update and the 12% decline that you had in your assisted business year-to-date and how much of that is the refund anticipation loan? And can we really call it that if they're not charging interest if they're just pushing out the payment for the filing?
William C. Cobb - President, Chief Executive Officer & Director: Hey, Gil. I'll take the first part. Apples to apples, because in our press release, we did update volume through February 28 which matches up reasonably well to the February 26 minus 3% and our volumes is not down 12%, it's down 7.9%.
Gil B. Luria - Wedbush Securities, Inc.: I apologize for it, yes, 7.9%
William C. Cobb - President, Chief Executive Officer & Director: No. It's all right.
Gregory J. Macfarlane - Chief Financial Officer: And to the second part of your question, Gil, and actually I thank you for asking because it's a good clarification. So, the refund anticipation loan is a product that many of you may be familiar with. Historically, it was a loan – there was an interest rate, there was origination fees. It was a profit center for tax origination companies. That's not necessarily within the market now. As a technical matter, it's still considered under IRS definition to be a RAL why we call it that. But you're right, it's an interest-free loan that costs – that are incurred because they are very real cost to the loan itself including bad debt. There's money to be borrowed to lend out, et cetera. That is I guess the best way to think about that is in our cost of acquisition, or marketing cost that will be incurred by the tax preparation companies that they really are not able to pass on directly to the consumer itself.
Gil B. Luria - Wedbush Securities, Inc.: So, let me ask for the right numbers this time. How do we bridge the gap between the minus 3.6% from the IRS and the minus 7.9% that you had?
William C. Cobb - President, Chief Executive Officer & Director: So, in other words, why are we below what the industry is, is that what your question is, essentially?
Gil B. Luria - Wedbush Securities, Inc.: Yes.
William C. Cobb - President, Chief Executive Officer & Director: Okay. As we've said for the past couple of years, we have had an early season client decline that really was a combination of two factors. One, we made a decision to get out of the free EZ game. That has hurt our early season client. And then the EITC migration from the assisted segment to digital due to the disparity in documentation requirements continues to make that a tougher piece for us. So, the real reason is we have chosen strategically to do that. We've also said that this will take a few years to turn this decline. We do believe we have been doing better than last year, but at this point, there's a lot of tax season to go. The numbers are what they are.
Gil B. Luria - Wedbush Securities, Inc.: Got it. Thank you.
Operator: Your next question comes from the line of Kartik Mehta from Northcoast Research. Your line is open.
Kartik Mehta - Northcoast Research Partners LLC: Thank you. Hi, Bill. Hey, Greg. Bill, as you look at this season, it seems like it started similar to last year. Would you think that as the season ends, you would see similar results where the back half of your season really improves, yet because of the negative volume count so far on the assisted side, you're not able to make it up so you kind of – will have a similar trend to last year?
William C. Cobb - President, Chief Executive Officer & Director: It's hard to say, Kartik. The last two years have been – again to the point of basically the end of February, you have overall, no matter what form you use, the number of returns is down, which has been odd for us. We believe we will have a stronger second half, but at this point, we're trying to execute day by day. But we believe that – the second half is usually where we really pick things up. So, yes, we believe that that's going to improve, but every season is different. And we just have to keep grinding.
Gregory J. Macfarlane - Chief Financial Officer: And importantly, and we said this in the prepared remarks, but there are effectively 2 million Americans that have not yet filed that this time last year would have filed, and actually when we sort of get into the details of who those people are, they're going to be disproportionately ACA, they'll be disproportionately kind of client sets that we do a lot of business with historically. So we do have, as Bill said, a good history of really doing well in the second half, and I think even better sort of set up for this year given the profile.
Kartik Mehta - Northcoast Research Partners LLC: And then just finally, Bill – I'm not sure if you said this in your prepared remarks, but at least it was in the press release, you said early season loss will take time. And when you say take time as in, do you think that this can improve next tax season or it's going to take a couple of tax seasons for this to wash out and as you execute more and – for it to improve?
William C. Cobb - President, Chief Executive Officer & Director: I don't want to necessarily get into forecasting the next season or whatever, but I do think, we have said that this is going to take a little bit of time, but at this point, I'm not ready to talk about next season or the season after that.
Gregory J. Macfarlane - Chief Financial Officer: But Kartik, to be clear, it's already improving. From two years ago to last year, we saw an improvement. From last year to this year in the first half, we see an improvement. It's not improved in that we're not at a point where we feel comfortable that we're taking share. So that's really, I think, the question you're asking. And I think, Bill, that's...
William C. Cobb - President, Chief Executive Officer & Director: Yeah, I think that's fair.
Gregory J. Macfarlane - Chief Financial Officer: ... what the answer is going to say (29:46). It's going to take time because ultimately this is an issue that's got multiple layers to it. It deals with very, very deep value, price/value type of discussions, but these are things that we're working on and we see progress thus far.
Kartik Mehta - Northcoast Research Partners LLC: Thank you very much. I'll get back in queue.
Operator: Your next question comes from the line of Thomas Allen from Morgan Stanley. Your line is open.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey. So just on your leverage, at your Investor Day, you said that as of October 31, you were at 2.2 times to 2.5 times, and you felt investment-grade was 2.5 times to 3 times . Can you just update us on where you are now, and how to think about the significant cash flow that's going to be coming in in the fourth quarter and how you're thinking about future buybacks? Thanks.
Gregory J. Macfarlane - Chief Financial Officer: Thank you, Thomas. So you're correct. We had – back when we announced our capital plan in the fall time, had indicated our ongoing commitment to investment grade. We quantified what that means from a debt-to-EBITDA. So an adjusted debt to adjusted EBITDA was somewhere between 2.5 times to 3 times. And we had indicated back in December that we'd be in the low 2-ish range. Generally speaking, when you sort of annualize it out, that's kind of where we are still at this point in time. We did raise $1 billion back in the fall. That was included in those numbers, which obviously would imply there's additional capacity there. But as a prospective statement, and I think you know the answer here, we are going to create shareholder value opportunistically. And so at the point at which the board decides in which the right way to move forward is, then we'd be able to execute that plan, and then after the fact, typically, we'd then share it. The fall time announcement was unusual in that we gave a proactive view, but our practice will, going forward, be more after-the-fact communication.
Thomas G. Allen - Morgan Stanley & Co. LLC: Yeah. I didn't expect you to give any guidance on – I know where you stand there. And then just in terms of – last season, at this point, kind of end of February, you were tracking down I think it was 8.7% on the assisted side. You ended down 4.6%. Last year it was weird where the season started, your declines kind of accelerated in mid-season. This time, it seems like your – the declines are just improving. And so based off of that negative 4.5% you saw last season, can you give us some kind of sense of if you think this year will be better or worse than that?
Gregory J. Macfarlane - Chief Financial Officer: Yeah. We're not going to give forward-looking guidance like that, Thomas. Sorry.
Thomas G. Allen - Morgan Stanley & Co. LLC: Okay. I thought it was worth a shot. I'll ask one more question; this isn't a joke.
Gregory J. Macfarlane - Chief Financial Officer: Yeah. A make-up question. Go ahead.
Thomas G. Allen - Morgan Stanley & Co. LLC: This isn't a joke. What do you think would happen to your business if Donald Trump becomes president? Thank you.
William C. Cobb - President, Chief Executive Officer & Director: Yeah, no, I know. And I've been asked this in interviews. I don't know. I think that any president will have to work with 535 members of Congress. As I've said repeatedly, we are in favor of ways to simplify the tax code. We believe we have ideas around that because we have to train all these people. I've been quoted as saying, which is true, there are five different definitions of a child in the tax code. It's 74,000 pages long. So, I do think that there are ways that we can aid in any effort to simplify, but the fundamental issue is the tax return is the fundamental way that the Federal government runs its social program. So whether that's the Affordable Care Act or the earning income tax credit or childcare, dependent care, all of these various refundable credits are run through the tax return and those take awhile to figure out how you would administer them and whether they were even – there's been talk about repealing the Affordable Care Act and then – but there's also been talk about deducting premiums for healthcare which is not what is on there now. So we have to wait until we see obviously who's elected, what the makeup of the Congress is. Right now, believe me, I'm all in on this tax season. And any president would take office as the tax season would be already underway. But we stand ready to – and I spend enough time in Washington. We stand ready to work with whoever. So, we'll figure out where that goes.
Thomas G. Allen - Morgan Stanley & Co. LLC: Thank you.
Operator: Your next question comes from the line of Anj Singh from Credit Suisse. Your line is open.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Hi, guys. Thanks for taking my questions. First off, I just wanted to follow up on some of the earlier answers and questions. Bill, you mentioned that there's been an improvement in sort of the share loss that you've seen this year versus last year. So, could you just talk about what efforts you guys are putting underway that are sort of mitigating the share loss? And the sort of follow-up to that is I think you mentioned that there's a free EZ impact, if you could just clear that out for me. I think we had been under the assumption that the free EZ impact should have been lapped this year and there shouldn't be any impact this year. So if you could just touch on those points, I'd appreciate it.
William C. Cobb - President, Chief Executive Officer & Director: I think part of the commentary on the free EZ is you have seen in the early season the shift to digital that the Absolute Zero promotion has done. So I do think that there is a lot of free conversation that goes out there. So I think that has had an impact. I'm not sure if I remember the other part of the question.
Gregory J. Macfarlane - Chief Financial Officer: It's really in terms of the programs we've done around share loss. So just to be clear, the sort of the ripple, the second year impact of free EZ, that happened as far as we can tell. But you saw different creative from us this year. Some of the products that we made, detailed changes that we felt would be more perfect for these target audiences. We've done some in-store distributions or in-store merchandising is different. Some of the training's been different for the tax professionals themselves. There's been changes to some compensation programs. These are things that – this is why we sort of get into this – many, many things that have to be looked at to solve this. Of course, we've been tackling a lot of those and there will be more to come.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Got it. And for my second question, just on ACA, any early indications how the behavior of ACA impacted filers is trending the season? Are you seeing any – the higher penalties drive any shift in the behavior, just overall any differences that you'd call out on ACA behavior this year versus last?
William C. Cobb - President, Chief Executive Officer & Director: Well, I think this season is showing some unusual filing patterns. So I don't think we have a good sense for it yet. We do believe that part of the delay to the season is due to the delays in these – the 1095-Bs and 1095-Cs going out late. So we have seen fewer clients and we expect to – but as Greg said, there's still 2 million filers to come. So we have to wait and see how the season plays out. So frankly it's a little hard to read right now.
Gregory J. Macfarlane - Chief Financial Officer: Everything we talked about in December with you, which is you all probably painfully remember, we did a lot of detail on ACA, still true from our viewpoint. I actually – to me, that's just me speaking, I find it somewhat encouraging that there is a delay in the season because if part of it, which I think is reasonable, is ACA, that means people's behaviors are reflecting the realities of ACA. Now how that plays out still to be determined and as we've said and we'll continue to say this is a multiple year opportunity for us, but the best time to ask that question will really be at the end of the season, from our perspective.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Okay, got it. And a quick follow-up on ACA, last one from me. It seems we've seen some ACA enrollment forecast getting lower this year. How are you guys feeling about that 20% to 25% ACA impacted filer number longer term? Are you still sort of confident in that or any changes to that effect longer term? Thanks.
William C. Cobb - President, Chief Executive Officer & Director: We have not, at this point, updated that again. We want to see where things land. But at this point, we're holding to that but we'll see how things play out. As we've said, we're in a multiyear journey with this and we'll adjust if need be depending upon where enrollments land and what the impact this season is. But at this point, we're holding to that belief.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): I appreciate it. Thank you.
Operator: Your next question comes from the line of Scott Schneeberger from Oppenheimer. Your line is open.
Scott Schneeberger - Oppenheimer & Co., Inc. (Broker): Thanks. Good afternoon. First question, guys. Obviously, you were pursuing early season volume this year via the ad campaign that we saw with the $1 million a day giveaway. I'm curious what type of impact did you feel that had and does that come in to any part of this EBITDA margin revision where you're saying you're still be above 28%, but slightly below the 29% level this year. So, it's a two-part question. Really, how you feel about the ad campaign and if there's any impact on the margin. And Greg, if you could share on the margin what the main components are maybe in rank order? Thank you.
William C. Cobb - President, Chief Executive Officer & Director: I'll take the first part. I think we felt very good about the program. I know it created a tremendous amount of in-store excitement. I was able to give a couple of checks out to winners and it was very emotional that we were able to – part of it is obviously $1,000 and part of it was just people feeling like I won something and you heard that echo. We were even getting thank-you notes, which is very unusual for a tax preparation company. So we did have higher marketing expense in the third quarter in January. But with regard to the EBITDA margin, I'll turn it over to Greg, we don't break out specifically what – essentially, I think what we said is with the lower volume at this point, we wanted to alert you to, we're probably on the lower end here, but I'll turn that over to Greg.
Gregory J. Macfarlane - Chief Financial Officer: Yeah. So we've been very consistent. We've said to you all that 28% to 32% is the range for us in the short term and the medium term here. I think you also know for those of you that's followed the story here for several years, we can change the margin when we want to. It was not long ago, frankly, we're at 26% EBITDA margin and we've been able to move it up. We've also been clear that our goal is not EBITDA margin as such; our goal is to get the revenue line moving. We've been making cost effort decisions constantly but we are reinvesting that, in fact, somewhat disproportionately into the top line, and that's kind of what we've been doing. The slight revision to our margin is more just to kind of tighten it up in my viewpoint, and the main driver there, of course, is just the volume pressure that we're seeing because mostly the other factors that we look at are actually pretty good. So, we'll obviously be able to provide a more detailed reconciliation at the end of the tax season.
Scott Schneeberger - Oppenheimer & Co., Inc. (Broker): Thanks. That's a good segue to my second question. I was catching in the press release and in the commentary some glimpses of silver lining with regard to revenue per return. You all mentioned Peace of Mind, your ID theft product. And this is a two-parter again. I'm curious what you're seeing thus far as kind of a revenue per return asset versus the volume results we've seen. I know you're not going to give exact numbers, but anecdotally, if you could just share a little bit more. And the second part of the question, Greg, is you mentioned revenue deferral from one – from beyond April, from one fiscal year to the other. Is that going to have a meaningful magnitude this year, do you believe, from what you've seen in the early season? Thank you.
William C. Cobb - President, Chief Executive Officer & Director: So on the first part of your question, Scott, your analytical silver lining insight is correct. We are seeing some positive movement across our entire business and revenue per user. At this point, we don't want to – we've seen some positive on the attached piece, as Greg indicated. But again, we got to let the full season play out. We'll have full disclosure on all that, but we are seeing some positives on that.
Gregory J. Macfarlane - Chief Financial Officer: Yeah. So on the other question which is the nuts and bolts of the way we account for things and, Scott, I know you this, but for everyone else's benefit, if you go into our stores, you buy our products, which you should all buy our products – the Tax Identity Shield is a great product, by the way. But last year, we bundled that product with the Peace of Mind product. This year, they're sold separately as well as in a bundle. But you'll be able to see the Tax Identity Shield product is $30 for the year for the individual, the Peace of Mind is $35-ish. And we collect the cash from the client upfront, but the way it gets accounted is the Tax Identity Shield pretty much is zero in the year it's sold. It's all recognized in the following year for the most part. And the Peace of Mind is spread over really a three-year period with very little in the first year. So as attach rates have been going up, as the units we've been selling have been going up, there's sort of an embedded accounting gain that will be realized in the next few years after that. So that's just accounting. As I said, we collect the cash.
Scott Schneeberger - Oppenheimer & Co., Inc. (Broker): Thanks. I'll hop back in.
Operator: Your next question comes from the line of Michael Millman from Millman Research. Your line is open.
Michael Millman - Millman Research Associates: Well, thank you. Sort of following up on some things. RALs were around last year, and so this year, maybe some of the amounts have increased but it's not new, so not sure why it affected you maybe more this year. So, I assumed that the $1,000 promotion was your answer to RALs and while you talked about people excited, not clear if it had much impact on your numbers. When we look at the numbers, we see that from the beginning of the year, these IRS numbers have shown nice increases each week from the beginning until this latest statistics, I guess today's statistics. And we've also seen good strength in do-it-yourself. Kind of curious no one's asked, now you started the year up about 5% and now you're down in do-it-yourself when TurboTax was going strong in January as well, so not sure what the change is there. And then in terms of refunds, started off the year down 11% but in the first week, I think the IRS released its money. And so, basically, it's been kind of flat or maybe refunds down 2% now. So, a lot of, I guess sort of out-of-line type of commentary, but maybe you can give us some more flavor and more detail as to why some of these things seem to be different for you.
William C. Cobb - President, Chief Executive Officer & Director: So, Greg, why don't you take that?
Gregory J. Macfarlane - Chief Financial Officer: Well, I think, Mike, if I got it right, you've got four questions there. So we'll try to tackle each one for you, and if we've missed it, just let us know. But the first one, I think just factually I'm going to disagree with your statement on RALs. So there were RALs in the market last year. There were RALs the year before. These were sort of private, specific to state, quite small in nature. Last tax season, there was really only one provider that had RALs, and they had an okay experience with that. We're very familiar with the details there. This season, you see both the other large branded competitors have them, as well as multiple providers that are also putting it through the independent channel, which, as we all know, is 40% of the revenue part of this market. So the number of distribution points for RALs this year is a lot larger than it was last year. And we're saying it's a factor. We're not saying it's a large factor. We're just saying it's a factor. But just to make sure we get the facts straight on that one. And then the next one, I think was the $1,000, is that our response. Do you want to do that one, Bill?
William C. Cobb - President, Chief Executive Officer & Director: Yeah. I wouldn't say it was a response. It was the approach we took for the early season clients. So I wouldn't say it was in response to the RAL.
Gregory J. Macfarlane - Chief Financial Officer: And the next question was really about DIY trends, and we have Jason here. Do you want to talk about that, Jason?
Jason L. Houseworth - President, U.S. Tax Product Strategy and Development: Sure. Thanks for your question, Michael. I think our results really reflect our strategy for the season which is, we want to grow by attracting high-value clients at a rate that's faster than the category. And similar to last year, we started out slow compared to the rest of the digital industry. But I'm really pleased with how we're serving these higher-value clients through our DIY products. We have NPS and our revenue per user that are both up, tax season to date, and from my perspective, there's a lot of season left, and the second half really holds the majority of these types of clients.
Gregory J. Macfarlane - Chief Financial Officer: And then lastly was really just about the refund volume and velocity. You're correct in terms of the direction of that. There is, and we mentioned this in the prepared remarks, directional differences within the types of people receiving refunds. It has been a factor that we've been watching carefully this year. Really from our point of view, we're just pointing it out more than anything else, just for education's perspective.
Michael Millman - Millman Research Associates: Okay, thank you.
William C. Cobb - President, Chief Executive Officer & Director: Did that get it, Mike? Okay.
Gregory J. Macfarlane - Chief Financial Officer: Thanks.
Operator: Your next question comes from the line of George Tong from Piper Jaffray. Your line is open.
George K. F. Tong - Piper Jaffray & Co (Broker): Hi. Thanks. Good afternoon. Can you elaborate on your launch of Block Advisors and how effective that's been in driving mix towards a higher end and more complex demographic?
William C. Cobb - President, Chief Executive Officer & Director: Yeah. So we are now open, 286 locations around the country. We're very pleased with the opening. Obviously, first year, you want to make sure operationally you're getting all of that wired together. That's worked very well, our tax pros, the clients have come in. And effectively, two things: one, this is now the season where Block Advisors really starts to kick into gear, the more complex client, the second half client. And clearly there'll be a fairly large extensions group as we look to see clients who are year-round. And this is a long term play for us. So we're not going to break out any specifics around it. It's just, suffice it to say that I'm really pleased with the execution that has happened so far. But for the type of client that we're talking about, it's now starting to rev up for Block Advisors.
George K. F. Tong - Piper Jaffray & Co (Broker): Got it. That's helpful. And can you discuss what you're seeing in market share performance in your digital DIY business?
Jason L. Houseworth - President, U.S. Tax Product Strategy and Development: Sure. As I mentioned, George, we feel like we started out a little bit slow. I think that we have seen some shift move to the category leader as they really worked with Absolute Zero and price on the desktop side in order to get that share. I think that there's been more share that's gone to TaxACT and some of the smaller players, and that's really where we're at at about halfway through the season.
George K. F. Tong - Piper Jaffray & Co (Broker): Got it. And I guess circling back to the assisted side. How would you assess the risk that some of the volume declines you're seeing this quarter are market share driven rather than simply a timing element?
Gregory J. Macfarlane - Chief Financial Officer: Yeah, we've said this in the prepared remarks, but just to be clear, we've seen directionally continued improvement in our market share losses, so it's not a gain at this point, but from three years ago to two years ago, two years ago to last year and this year, so that loss is getting better. So we're okay with that. I wouldn't say that we're pleased because we're still losing.
George K. F. Tong - Piper Jaffray & Co (Broker): Great. Thank you.
Operator: Your next question comes from the line of Jeff Silber from BMO. Your line is open.
Henry Sou Chien - BMO Capital Markets (United States): Hey. Good afternoon. It's Henry Chien calling for Jeff. I was wondering if you guys could talk a little bit more about the price and the mix improvements. Is there anything that you could share in terms of color of where you're getting with these price increases and then some more color on where the mix improvements are? Thanks.
Gregory J. Macfarlane - Chief Financial Officer: Yes. So one of the nice things about our industry is we have real pricing power. I think you're all intimately familiar with that, but we measured last 2015 (50:45) the assisted side, a 0.1 (50:47). We have worked very hard the last several years to really – to use pricing strategically, not opportunistically, not tactically. So we went into this tax season with a specific plan, a lot of nuances to it, but it's a way to really make sure that we hone our price/value messaging to recognize the fact that we have this opportunity. And so, we've executed that quite smoothly and generated some real value. Historically, as you know, we've basically been raising prices double the rate of inflation. We'll give you more guidance on what we did this year at the end of the season. And then, in terms of the mix, this is a very big issue for us. And we talk about units, units, units. This time of the year, that's the one thing we talk about. I always believe it's very misleading because the units themselves, there's vast differences in the value of those. And so, we recognize that in Block. We know the things that we do to help people. And we've had a really I think good story, where we continue to focus, of course, is the early season client. These are people where speed of refund matters. And you get sort of two types of people typically in the early season, the EZ, the most basic filer. And then, secondarily is the earned income credit filer, and we're more particularly focused on earned income credit. We'll be able to better digest and share the results at the end of the season, where that stands. But in total, so far this year, we're pleased with mix. As we look to the second half, we continue to believe that's a good driver of value for us.
Henry Sou Chien - BMO Capital Markets (United States): Got it. Okay. I appreciate the color. And in terms of industry trends or what you're seeing from your clients, is there anything that you could call out in terms of the difference of your client demographics, or any trends that you're looking at? Thanks.
William C. Cobb - President, Chief Executive Officer & Director: No. Henry, I think it's consistent with past year. I don't think there's been any particular demographic shift at this point.
Henry Sou Chien - BMO Capital Markets (United States): Got it. Okay. Thanks a lot.
Operator: Your next question comes from the line of Anj Singh from Credit Suisse. Your line is open.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Hey. Thanks for letting me back in. Greg, a quick housekeeping question. should we still be expecting 260 franchises to be bought back this year?
Gregory J. Macfarlane - Chief Financial Officer: Yes.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Okay, great. Thanks.
Operator: Your next question comes from the line of Scott Schneeberger from Oppenheimer. Your line is open.
Scott Schneeberger - Oppenheimer & Co., Inc. (Broker): Thanks. I got a couple more. Greg with regard to – just first one will be an update on Sand Canyon and what has occurred this quarter. And it sounds like a partial employment agreement but maybe not complete. Just if you could elaborate to the extent you can. Thanks.
Gregory J. Macfarlane - Chief Financial Officer: Yes. In my mind, it's a good step-forward for the Sand Canyon team. As we talked about earlier, there was, in my mind, a material reduction in the representation of warranty reserve by about $89 million. So, we end up now with $65 million in the balance sheet for representation of warranty. The same kind of general words we've been using. It represents a small number of counterparties which the Sand Canyon management team are working through. What you saw this quarter was resolution on a few of those – I'm not going to be too specific on the number but we're talking – in total, still just a handful. So it does, at the same time, keep in mind, represent years of effort to get there. Clearly because there's still a balance in that account means there's still some work to get done here but it is a very positive step-forward from our perspective.
Scott Schneeberger - Oppenheimer & Co., Inc. (Broker): Thanks. Just a couple more. One is open-ended, Tax Plus, if you could please elaborate on the good and the bad. And you've already spoken a little bit to accounting changes there but anything else you feel you should highlight. And then, a quickie throw-on is, Greg, I think the guide for the year from the Investor Day for tax rate is 33% to 34%, a little off from that and this quarter from what we expected. Is that still a good number to use and was that just a timing thing?
William C. Cobb - President, Chief Executive Officer & Director: So I'll take the first one. There's a lot of good on the attached – we're very excited about the increases we're seeing on the Tax Identity Shield, which is a product that is just spot on for what happens in the industry today. I think we're also pleased with Peace of Mind continues to grow. We'll obviously give more color on this fully when the tax season is over. And regarding refund transfer, continue to be in line with history and consistent with the volume that we're seeing, but overall we think the Tax Plus strategy is working quite well. I'll turn it back to Greg for...
Gregory J. Macfarlane - Chief Financial Officer: Yeah. So this is kind of the – you have to sort of reverse your logic a little bit. In those quarters, you lose money. You actually want your tax rate to be as high as possible but the guidance we provided at December that you outlined would be what we would continue to reinforce that. So as the year settles up, that would be the right range to think about for tax rate.
Scott Schneeberger - Oppenheimer & Co., Inc. (Broker): Thank you.
Operator: Your next question comes from the line of Kartik Mehta from Northcoast Research. Your line is open.
Kartik Mehta - Northcoast Research Partners LLC: Thank you. Jason, just a question for you on the digital side, I just want make sure I heard you correctly. Were you saying that even though right now unit count is negative, from a revenue standpoint, the revenue would be positive?
Jason L. Houseworth - President, U.S. Tax Product Strategy and Development: Well, just to clarify my comment, Kartik, what I said was that our average revenue per user is up. And so we're pleased with the way the online product is monetizing.
Gregory J. Macfarlane - Chief Financial Officer: But the answer to the question is yes.
Jason L. Houseworth - President, U.S. Tax Product Strategy and Development: Yes.
William C. Cobb - President, Chief Executive Officer & Director: The answer's yes at this point. I think we're trying to be cautious, Kartik, as we go through the end of the season, and obviously like Intuit ourselves, a lot of money is made in the digital space, just like the assisted space as you get into mid-March and go to the finish line. So we're not guiding anybody do anything but that's where we're at.
Kartik Mehta - Northcoast Research Partners LLC: And I know maybe basis points, that's not that big of a number, but any thoughts, Bill, on the difference between company owned and franchise operations, why the difference? Was there anything you saw within the numbers that you could point to as this is why there is a difference?
William C. Cobb - President, Chief Executive Officer & Director: Not really, Kartik. We look at this – I don't have a good answer for you other than I think our franchisees do heck of a job, and I think they're doing marginally better than the company side, which is driving the company side crazy because they're sort of competitive with each other. But there's nothing of note with that 70 basis point difference.
Gregory J. Macfarlane - Chief Financial Officer: To me, this is an example why I'm always very cautious on units because, as you know, a lot of our franchisees are more rural in nature. Our companies are more city and suburbs. And when you actually neutralize for sort of the mix within that, you find that the performance is actually pretty similar. And the big picture in terms of things that we matter running businesses, the company stores over time have shown their ability to sell the Tax Plus products at a much higher rate, thereby generating more value for the clients and also value for the company. And so that's – when we said we think we managed the stores a little bit better, that's the main reason that we see differential over time.
Kartik Mehta - Northcoast Research Partners LLC: And then, Greg, just to make sure I understand it, this is more a housekeeping deal, but diluted share count you're expecting for the year, any difference? I know you bought back $392 million worth of shares, and for you guys, it's a little complicated to count the diluted shares. So, I just want to make sure.
Gregory J. Macfarlane - Chief Financial Officer: The math on how to calculate the weighted average shares is a bit more complicated than it should be, but that's that way the GAAP works, and I think I know you know that. So, we've given you where the share count was at the end of the third quarter. You can roll forward the math, and using one, two and three quarter actuals, you'll have to take a position because we're not going to give you an idea what the fourth quarter number is going to look like. But mathematically speaking, it's not going to be much different just because of the way it works from a weighted perspective. So I don't know if that's helpful or not, but certainly, that's kind of my answer.
Kartik Mehta - Northcoast Research Partners LLC: Thank you. Appreciate it.
William C. Cobb - President, Chief Executive Officer & Director: Final thing I do want to say, and I encourage everyone on the phone, we'd love for you to be a client. We have 20 Block Advisors open in the New York area, including four downtown in Hanover Square, two on 23rd Street, one on 31st. So, I'm always pitching, we have a big contest in the company of trying to get additional clients. So, we'll help all you, investors and analysts who would love to come visit us. We can do any one of your taxes.
Operator: This concludes today's conference call. You may now disconnect.